Operator: Good morning. My name is Charlie, and I'll be the conference operator today. At this time, I'd like to welcome everybody to the Second Quarter 2022 Conference Call for Aaron's Company. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a Q&A session. [Operator Instructions] Thank you. Mr. Hancock, you may begin your conference.
Keith Hancock: Thank you, and good morning, everyone. Welcome to the Aaron's Company's second quarter 2022 earnings conference call. Joining me this morning are Douglas Lindsay, our Chief Executive Officer; Steve Olsen, our President; and Kelly Wall, our Chief Financial Officer. After our prepared remarks, we will open the call for questions. Many of you have already seen a copy of our earnings release issued yesterday afternoon. For those of you that have not, it is available on the Investor Relations section of our website at investor.aarons.com. During this call certain statements we make will be forward-looking, including forward-looking statements related to our financial performance outlook for 2022. I want to call your attention to our safe harbor provision for forward-looking statements that can be found at the end of our earnings release. The safe harbor provision identifies risks that may cause actual results to differ materially from the content of our forward-looking statements. Also, please see our Form 10-K for the year ended December 31, 2021, and other subsequent periodic filings with the SEC for a description of the risk related to our business that may cause the actual results to differ materially from our forward-looking statements. On today's call, we will be referring to certain non-GAAP financial measures, including EBITDA and adjusted EBITDA, non-GAAP net earnings, non-GAAP EPS and free cash flow, which have been adjusted for certain items which may affect the comparability of our performance with other companies. These non-GAAP measures are detailed in the reconciliation tables included in our earnings release and the supplemental investor presentation posted to our website. With that, I will now turn the call over to our CEO, Douglas Lindsay.
Douglas Lindsay: Thanks, Keith. Good morning, everyone. Thank you for joining us today and for your interest in The Aaron's Company. Today, we are pleased to report consolidated company results for the first time since our acquisition of BrandsMart U.S.A., which closed on April 1. As a result of the acquisition, consolidated revenues increased in the second quarter. BrandsMart is off to a strong start and we are encouraged by the performance of this new business segment. In the second quarter, the Aaron's business faced a challenging economic environment. As high inflation put significant financial pressure on the lower income customer that we serve. With gas, food and housing prices rising, more of our customers' income is needed to cover these basic necessities. Making less available for leasing new merchandise or renewing lease agreements. Customer demand and payment activity progressively worsened through the quarter, leading the second quarter revenues, earnings and earnings per share for the Aaron's business coming in lower than prior year quarter and below our expectations. In light of these trends, we now expect additional pressure on the company's financial performance in the back half of the year. And as a result, we have lowered our 2022 outlook. We have already taken a number of actions to optimize performance and reduce expenses in light of the changing market conditions. We have reduced operating expenses and staffing levels in our Aaron stores and store support center. We have announced the closure of one of our corporate office locations. And we plan to close and consolidate additional Aaron stores by year end. Also, we have reduced inventory purchases to align with current demand trends. Despite the challenging macroeconomic environment, we remain confident in the resiliency of the Aaron's business. Since 1955, our business model has repeatedly proven that it can withstand economic downturns, thanks to the loyalty of our more than 1 million active customers, who count on us to be there for them when times are tough. We are leveraging our deep expertise and our strong relationships in the communities we serve to navigate this challenging environment. Further, we believe that the investments we've made over the past five years to transform the Aaron's business are allowing us to provide our customers with even better service and greater value. For example, our lease decisioning platforms enable us to optimize our lease origination activity. We've already tightened lease decisioning in response to the declining customer payment trends, and we will continue to monitor our portfolio performance and assess our lease approval rates as the economic landscape evolves. Meanwhile, our innovations in our e-commerce channels and our GenNext program allows us to meet our customers where they prefer to shop, whether in a beautiful Aaron store or online. We remain very encouraged by the growth of our e-commerce channels and the high performance of our GenNext store strategy, and we will continue to invest in these initiatives. We will also continue to invest in BrandsMart, which we believe is the low price leader and retailer of choice for appliances and consumer electronics in the markets we serve. This new segment performed well in the second quarter, exceeding our internal expectations and increasing our optimism about the additional value creation opportunities available through this acquisition. Together with our strong balance sheet and liquidity, we believe that our focus on innovation in the Aaron's and BrandsMart businesses will enable us to continue delivering a market leading value proposition to a large and diversifying customer base and will position us for future growth. Now, I'd like to welcome Steve Olsen our President to discuss the operational performance of both Aaron's and BrandsMart, before Kelly Wall provides additional details on our financial performance.
Steve Olsen: Thank you, Douglas. I want to begin by extending a warm welcome to our BrandsMart team members. I've truly enjoyed working with all of you over the last several months and I'm excited about building the future together. I also want to thank our team members across Aaron's, Woodhaven and BrandsMart for your focus and commitment on customer service, continued innovation and winning in the marketplace. Your efforts have been outstanding. As Douglas mentioned, The Aaron's business faced challenges in the second quarter, due to inflationary and other economic pressures on our customers. Customer demand was volatile in the first quarter. And as we discussed in the last earnings call, we saw choppiness in April. That trend continued and beginning in mid-May progressively worsened through the quarter. Likewise, lease renewal rates declined in the second quarter beyond the originally anticipated normalization. While performing above pre-pandemic levels through early May, we began to see deterioration in lease renewal rates as the quarter progress. In the second quarter, our customer lease renewal rate was 88.5% for our company operated Aaron's stores, compared to 92.4% in the government's stimulus aided second quarter of 2021. We also experienced higher lease merchandise returns, an increase in charge offs, which Kelly will discuss in a few minutes. The lower customer demand combined with higher charge off and higher lease merchandise returns led to a decline in the lease portfolio size. We ended the second quarter with a lease portfolio size for all company operated Aaron's stores of $130.8 million, a decrease of 1.5%, as compared to the prior year quarter. On a positive note in the Aaron's business, we continue to see strong momentum in our e-commerce channel and GenNext store strategy. E-commerce remains a key customer acquisition channel -- revenue driver for the Aaron's business. We have continued to improve our digital marketing strategies, enhance online shopping experience and expand the product assortment offered on aarons.com. These efforts are attracting more customers and improving our conversion rates leading to a 28.9% increase in e-commerce lease originations in the second quarter versus the prior year quarter. This increase in e-commerce lease origination led to a 4% growth in e-commerce revenues in the second quarter of 2022, as compared to the second quarter of 2021. Also, this important channel continues to represent an increasing percentage of our total lease revenues. In the second quarter, e-commerce represented 15.4% of total lease revenues, up from a 13.9% in the second quarter of 2021. Now shifting to our GenNext strategy. This strategy continues to deliver meaningful financial performance through the transformation of our in-store customer experience and operating model. In the second quarter, we continue to see lease originations in our GenNext stores open less than one year grow at a rate of more than 20% higher than our average legacy stores. In the quarter, we opened 36 GenNext locations, bringing our total to 171 company operated GenNext stores, which now account for more than 17.4% of revenues, up from 6.7% in the second quarter last year. As we discussed in the last earning call, we remain committed to this important strategy and look forward to adding approximately 45 more GenNext locations this year. Turning to the BrandsMart business. BrandsMart is a value-oriented retailer with a wide assortment of competitive prices that appeal to a loyal customer base across the entire credit spectrum. In each market we serve, BrandsMart has knowledgeable salespeople, strong brand awareness and an established local delivery and service network. Each of our 10 BrandsMart stores offers nearly 15,000 items an average store size of approximately 100,000 square feet. In the second quarter, BrandsMart delivered $181.4 million in revenues. This strong performance was primarily driven by higher average ticket, revenue growth in appliances and double-digit growth in e-commerce. Also, as we described last quarter, one of the key synergies for the BrandsMart acquisition is to implement in-house lease-to-own solution. I am pleased to report that we have successfully launched our new BrandsMart leasing product in the second quarter, which has replaced the lease-to-own solution previously provided by a third-party. Our customers and team members are excited about BrandsMart leasing, which brings a faster and improved customer experience. While our new solution represents a small portion of the BrandsMart business today, we are excited about this opportunity and believe it has significant growth potential in the future. In addition to our lease-to-own solution, we remain focused on capturing other key synergies and investing in people, process and technology for growth opportunities following the BrandsMart acquisition. These include: leverage the buying power of our combined company to reduce our product costs; expand the product assortment offered on aarons.com; grow the BrandsMart e-commerce channel and open new BrandsMart stores in adjacent markets. With that, I would like to hand over the call to Kelly.
Kelly Wall: Thank you, Steve. As we detailed in the recently filed second quarter 10-Q. In addition to the consolidated company, we are now reporting on two business segments: the Aaron's Business and BrandsMart. The Aaron's business segment includes the company operated Aaron stores, the aaron's.com e-commerce platform, Aaron's franchise operations, BrandsMart leasing and Woodhaven, our furniture manufacturing operations. The BrandsMart segment includes our 10 BrandsMart U.S.A. retail stores and the Brandsmartusa.com platform. The two business segments are not burdened by unallocated corporate expenses, which include, but are not limited to equity-based compensation, restructuring, separation and acquisition related costs, interest expense and certain other corporate functions. For all prior year periods, I will discuss, we have adjusted the financial results presented to align with the new reportable segments. Consolidated total revenues in the second quarter of 2022 were $610.4 million, compared with $467.5 million for the second quarter of 2021, an increase of 30.6%. This year-over-year increase was primarily due to the BrandsMart acquisition, which was offset by lower revenues at the Aaron's business. Gross profit was $293.1 million in the quarter, $1.5 million lower than the prior year quarter. The decline was primarily due to the lower revenues at The Aaron's business offset by the addition of BrandsMart, which was not included in the prior year period. Gross profit margin was also lower year-over-year, primarily due to the acquisition of BrandsMart, which operates at a lower gross profit margin in the Aaron's business. Our consolidated operating expenses for the second quarter of 2022 were higher than 2021, due to increases in personnel expense, other operating expense and the provision for lease merchandise write-offs. Personnel cost increased $8.8 million in the second quarter, as compared to the prior year, primarily due to the addition of BrandsMart. This was partially offset by lower performance-based incentive compensation at both the Aaron's business and within functions included in unallocated corporate expenses. Total other operating expenses excluding restructuring expenses, spin related costs and acquisition related costs increased $22.3 million in the quarter, as compared to the prior year period. This increase is primarily the result of the acquisition of BrandsMart and higher occupancy, shipping and handling and other miscellaneous expenses at the Aaron's business, which was partially offset by lower advertising cost at the Aaron's business. Adjusted EBITDA in the second quarter of 2022was $48.1 million, compared with $65.3 million for the same period in 2021. As a percentage of total revenues, adjusted EBITDA was 7.9%, compared to 14% last year. This decline in adjusted EBITDA and adjusted EBITDA margin was primarily due to the decline in adjusted EBITDA at the Aaron's business, offset by the addition of BrandsMart and lower unallocated corporate costs. On a non-GAAP basis, diluted earnings per share were $0.79, compared with non-GAAP diluted earnings per share of $1.05 in the same quarter in 2021. EPS for this year's second quarter includes a deferred income tax benefit of $0.15 per share, which was generated by the remeasurement of state deferred tax assets and liabilities in connection with the BrandsMart acquisition. Free cash flow was $3.7 million, a decrease of $20 million year-over-year. This decline was primarily due to changes in working capital and higher capital expenditures in the current year quarter, partially offset by lower purchases of lease merchandise. At the end of the quarter, the company had a cash balance of $28.2 million and total debt of $310.3 million. Total liquidity including availability under our revolving credit facility was $273.4 million at June 30. During the quarter, we paid a quarterly cash dividend and purchased 254,000 shares of the company's common stock. Turning to the business segment. At the Aaron's business, total revenues in the quarter were $430.2 million, compared to $467.5 million for the second quarter of 2021, a decrease of 8%. This decline was primarily due to the lower lease revenues, which we attribute to the lower customer payment activity Steve discussed earlier. Same-store revenues were down 6.7% in the quarter, compared to an increase of 11.2% for the prior year quarter. Operating expenses at the Aaron's business increased $8 million in the quarter as compared to the prior year period. Higher other operating expenses and provision for lease merchandise write-offs were partially offset by lower personnel expenses. The provision for lease merchandise write-off as a percentage of lease revenues and fees for the second quarter was 5.7%, compared to 2.9% in the prior year period. This increase in the provision expense was primarily due to a higher frequency of charged off lease agreements and an increase in the average net book value of the lease merchandise that was charged off. Both of which have been impacted by the current high inflationary environment. Additionally, the increase in write-off percentage was impacted by the lower lease revenues in the quarter. In the second quarter of 2022, adjusted EBITDA for the Aaron's business was $48 million, compared with $78.6 million for the same period in 2021. As a percentage of total revenues, adjusted EBITDA was 11.2%, compared to 16.8% last year. At BrandsMart, retail sales in the second quarter of 2022 were $181.4 million, which is approximately 7% lower than the same quarter of the prior year. This expected decline was due primarily to the normalization of customer demand following a strong second quarter in 2021, which we believe benefited from last year's government stimulus. We are not currently providing a same-store sales comp percentage given that all BrandsMart U.S.A. stores have been opened for more than 13-months. Gross profit excluding a non-cash inventory fair value adjustment related to the acquisition was $45.9 million or 25.3% of retail sales. In the second quarter of 2022, adjusted EBITDA for BrandsMart was $10.5 million. Yesterday, we issued our second quarter earnings release, which includes the full detail of our updated 2022 outlook. This lower outlook reflects our expectation that the current high inflationary environment will continue to adversely impact customer demand, lease portfolio size, lease renewal rates, the provision for lease merchandise write-off and other company expenses. With that, I will now turn the call over to the operator, who will assist with your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Kyle Joseph of Jefferies. Kyle, your line is now open.
Kyle Joseph: Hey, good morning, guys. Thanks for taking my questions. Kelly, you touched on it. I've been getting a lot of questions on kind of the -- on the write-off side, but in auto finance, you talked about the frequency and the severity, but can you give us a sense for how both of those are changing?
Kelly Wall: Yes. Happy to Kyle. So in the quarter, [Technical Difficulty] was 5.7% and of that, the majority of that was the count that increased that. So I'm going to bridge you actually from last year to this year, it's going to be very beneficial to help you understand this. So we were at 2.9% last year, 5.7% this year, about a 157 basis points or so is the frequency, right? The rest is the increase in the net book value, as well as the increase in the reserve for that period as well, because given higher amount of charge-offs we're seeing towards the end of Q2 and how that's continued into Q3. We're obviously reserving for those future anticipated write-offs as well. So it's a combination of those three things, which are -- have led to the year-over-year increase.
Kyle Joseph: Got it. That's very helpful. And then on the demand side, obviously, we recognize the macro environment, but do you think some of it was -- you saw a bit of a pull forward in ‘20 and ’21 in terms of demand with the stimulus out there and kind of stay at home. And just kind of how -- it's a crystal ball question and it's difficult in this macro environment, but like how quickly would you anticipate demand recovering? And would you see any catalyst for that?
Douglas Lindsay: Kyle, it's Douglas. I mean, think you're exactly right. On ’20 and ’21, there was a lot of liquidity in the market, lot of folks had money and we're making retail purchases and entering into more leases. I mean, right now we're in a really unique market environment. As we said in our comments, we've seen deterioration beyond normalization and demand and in customer payments. That is primarily focused on the Aaron's business, and I just want to be clear on that, which serves a lower income customer as opposed to BrandsMart, which has customers across the credit spectrum, where we're seeing in BrandsMart more of normalization, not deterioration beyond normalization. There is no doubt and it's widely publicized, you know, low income is under pressure, gas, food, housing, less liquidity to buy large items for the household, but also struggling to pay their bills. We've mentioned and Steve said in his prepared remarks customer demand and payment activity progressively worsened in the Aaron's business through the quarter. As you recall in our Q1 earnings call, we say customer demand was volatile in the first quarter as we had resurgence of COVID, then a delayed tag season, then we saw choppiness going to April. I would say, as we look forward, we are assuming a run rate of demand that's similar to what we're experiencing now in our outlook for the rest of the year. And we would also say that the trend that we saw in lease renewal rates beginning in mid-May that progressively worsened through the end of June, that trend would continue as well and we would consider that beyond normalization. Encouragingly, we have been utilizing the investments we've made over the past five years to adjust to this macro environment. We have centralized lease decisioning, we've been tightening lease decisioning that is going to have an impact on the demand side of the business a bit, as we're tightening and managing, setting the customer for success and sizing the right size deal for their ability to pay, but we are encouraged by that. But our outlook reflects all those pressures in the back half of the year. I'd be remiss, if I didn't mention our e-commerce business that despite these demand trends has been a strong point for us. E-comm grew in the quarter and sales really what we put into the portfolio by 28% and that's coming off of a 21% growth in the first quarter, so that's positive. Last thing I would say on this demand environment and renewal environment is inflation is also putting pressure on our cost structure. We have been purchasing items at a higher cost than historically, but we've been able to pass that cost on to our customer. Our average ticket is up little over 8% in the quarter and we've been preserving the margin we're writing into our portfolio through cost increases, which our customer has been taking, so the customer has been taking the cost increases, but we're seeing that dynamic with pull forward to demand and less liquidity impacting us right now.
Kyle Joseph: Very helpful. That's it for me. Thanks for taking my questions.
Operator: Thank you. Our next question comes from Jason Haas of Bank of America. Jason, your line is now open.
Jason Haas: Hey, good morning and thanks for taking my questions. The first one was curious if you're starting to get any -- hey, good morning. Are you seeing any form of trade down in the Aaron's business in terms of -- we typically think in terms of when we go into an economic downturn that you'll start to see credit tightening above you, which could pushing people into lease-to-own. I'm also curious with all the inflation folks are seeing if that's causing people to need to use lease-to-own more? And if not yet, any thoughts as to whether that could be positive in the coming quarters?
Douglas Lindsay: Yes. Hey, Jason, it's Douglas. It's tough to gauge right now. We are definitely keeping an eye on it. Should interest rates continue to rise and access to credit get restricted in the future. We believe the market for lease-to-own will expand. I think we've said before in a normalized environment, and I would say this is a very unique moment that we're in right now, but in a normalized environment, we believe that inflationary increases would have the customer looking for smaller payments on big ticket items. But we are continuing to monitor that to -- first of all, we're not in a normal environment. And secondly, we have not begun to see customer trading down with the credit any kind of credit tightening or interest rate pressure. We're following external data on that and clearly have our ears to the ground to see if that is happening in the marketplace. In addition, we have the ability to look into our internal data in the Aaron's business to see if we're seeing higher credit scores entering our space, as well as via composition of our new customers. So while we haven't seen it, we're watching carefully and monitoring going forward.
Jason Haas: Thanks. Good to hear. And then as a follow-up, Douglas also for you, just you -- I think you mentioned it briefly about the store closure strategy. I know that was a topic following the spin-off to try to, I guess, grow EBITDA on lower revenue. So I'm curious if you're starting to kind of dust off that playbook a little bit more and look back into that? And then alongside to that I'm also curious, are we still -- should we still expect a BrandsMart store opening next year and one to two per year thereafter?
Douglas Lindsay: Sure. Just on the GenNext strategy, as you recall at the time of our spin, we had articulated a strategy where we were going to reduce the number of stores and serve as the same markets that we serve now with fewer stores and bigger e-comm. With the strength of stimulus-driven economy over the last two years, we had pulled back as our stores and the markets was a surge in demand and we just didn’t think it was prudent at the time. While the pace of store closures has been slower, we are beginning to revert back to our closed merge strategy in the second half of this year. And I noted that in my comments about store closures in the back half of the year. We expect to close stores, but it's important to note those stores will be a closed mergers. We're just getting more efficient in the market. We have the benefit of a recurring revenue business where we can port our portfolio of leases into another store, reduce our cost structure and drive profitability in those markets. And with our e-comm platform and our digital servicing platforms, we can service those customers very efficiently. We have many customers making payments interacting with us outside of physical visits to the store, so that's encouraging. We believe fewer more profitable stores is an efficient way to run the business and will assess market-by-market, where we'll actually be physically repositioning a store versus just merging customers into an existing store. Importantly, and we said this at the time of the spin, we believe the strategy frees up working capital will help us drive earnings and create stronger cash flow in the business. Yes in terms of BrandsMart [Multiple Speakers], I’ll let Steve take that question. Yes, I'll let Steve take that.
Steve Olsen: Yes. Good morning. This is Steve. As we mentioned in the prepared remarks, we see opening a BrandsMart store one to two year as a key growth strategy for the business. And with that, say, as we stand right now, we're early in the process, we're doing our market research both on the customer, both on the competitive positioning in these adjacent markets and we still believe that and hope to open the store next year.
Jason Haas: Great. Thank you.
Operator: Thank you, Jason. Our next question comes from Scot Ciccarelli of Truist Securities. Scot, your line is now open.
Scot Ciccarelli: Good morning, Scot Ciccarelli. So your renewal rate ended the quarter at 88.5%, but deteriorate throughout the quarter. Can you guys give us any idea what the exit rate was? And is that what you're anticipating for the back half of the year?
Kelly Wall: Yes, Scot. Hey, it's Kelly. So you may recall in prior calls, we've kind of outlined that our -- for the full-year, kind of, pre-pandemic, our renewal rates are between 87% and 89% typically in a normal period, the back half of the year would be about 100 basis points lower than that. And what we're seeing right now as we exited Q2 and in the early parts of Q3, what we're anticipating is through the back half of the year we're going to be about 100 basis points to 150 basis points lower than our pre-pandemic levels. So that puts us lower than where we kind of average for the quarter, but can give you a bit of a guide for the rest of the year?
Scot Ciccarelli: Very helpful. And then can you guys provide also some color just regarding how much you're tightening your approval process? And maybe, Kelly, however you think about in terms of impacting the portfolio growth rate?
Douglas Lindsay: Yes. Hey, Scott, this is Douglas. I'll talk about the tightening. As we communicated, we're now -- and I think we've previously said that we're now decisioning the vast majority of our customers through centralized decisioning both on our stores and in our e-comm channels. Really what we're trying to do there is score our customer to size their lease and aligned their payment amount so they pay to us, their ability to pay. And we think that model is predictive and slopes outcomes very well. We've adjusted our model over the course of the last six months or really over the last 12-months to adapt to this ever evolving environment. We expect our lease approval rates to be about 5% lower than they were last year at this time, at the end of the second quarter of 2021. And that tightening of decisioning is reflected in our full-year outlook.
Scot Ciccarelli: Got it. Okay. Thank you very much, guys.
Douglas Lindsay: Yes.
Kelly Wall: Thank you, Scot.
Operator: [Operator Instructions] Our next question comes from Anthony Chukumba of Loop Capital Markets. Anthony, your line is now open.
Anthony Chukumba: Good morning. Thanks for taking my questions. First question, I know historically basically, you’ve sort of guided lease merchandise write-off rate in the 4% to 6% range. I guess my first question is based on your updated guidance for 2022, what is the implied? I guess, lease merchandise write-off rate still sort of in that 4% to 6% range? Is it a little bit higher given this, sort of, unprecedented macroeconomic environment that we're in right now?
Kelly Wall: Yes. Hey, Anthony. It's Kelly. Listen, I think given like you said, we're in a pretty unique situation here right now. Our view is that we are going to be higher for the full-year relative to what we had provided before. Our current thinking right now is that for the full-year 2022, between 6% and 7% and that's the lease write-offs as a percentage of lease revenue.
Anthony Chukumba: Okay. Got it. That's helpful. And then just one real quick housekeeping question and I apologize if this is in the 10-Q and I just don't know how I missed it. Can you just give store numbers for the Aaron's business for company operating franchise stores?
Douglas Lindsay: Yes, Anthony. It’s Douglas here. Company-owned stores is 1,060 stores and our franchise stores are 234 four stores at the end of the quarter.
Anthony Chukumba: Got it. Thank you so much.
Kelly Wall: You’re welcome. Thank you.
Douglas Lindsay: Thank you.
Operator: [Operator Instructions] Our next question comes from Bobby Griffin of Raymond James. Bobby, your line is now open.
Bobby Griffin: Yes. Good morning, everybody. Thanks for taking my questions. I guess my first question really is more just kind of high level on your end market and kind of the space itself, but the space has gone through a wide variety of economic cycles. But why do you think it's performing differently this one? In terms of being able to control the write-offs or the GMV side of the business or anything like that? Why exactly think this one's finding it tougher to manage through than prior cycles we did during the rent-to-own space?
Kelly Wall: Yes, Bobby, it's interesting. This is a unique period of time, we're seeing different market conditions and we've experienced in the past. If you look back to when we've seen credit tightening in the past, certainly it's been decades since we’re seeing inflation like this, but like our most recent data point on credit tightening, I would say, would be the 2008, 2009 period. Credit scores during that time decreased during the recession and our market expanded, which is what we would expect. Same-store revenue during that time did increase as that market expanded due to the macroeconomic conditions, but we also had a lot of unit expansion going on at the time. I would say today we've got much better analytics to be able to deal with that and we've got much better touch points with the customer. What's different? This pull forward in demand right now did not proceed the financial crisis back then and so that is different. Unemployment was also a lot higher back then and inflation is a lot higher now. So we've got some different things happening at the same time. And as we said, that's putting a lot of pressure on our customer, the pull forward or not. Shopping as much as you're hearing from other retailer and their ability to pay is a little bit more challenge. We've reflected all of those dynamics in our full-year guidance and we'll continue to assess as we move forward.
Bobby Griffin: Okay. Appreciate that. And then I guess lastly to switch over to BrandsMart, you know, I think you mentioned was down on a quarter-over-quarter. I mean, year-over-year basis around 7% mid single-digits. Was that pretty stable throughout the quarter? And is that kind of trend held up or we can get a good feel that, that business isn't as volatile as what's going on in the other side of the leas-to-own business?
Steve Olsen: Hey, Bobby, it's Steve. I'll be glad to answer that. If you kind of break down the quarter on sales, I would say it did pretty much hold up throughout the quarter, even to the point where we saw some nice improving trends through the recent holiday promotions both in May and in June, leading up to July 4. So we’re excited about the business, we're optimistic about the trends. But the strong management team, the growth in appliances that we saw throughout Q2 was very promising. And we're excited about where we think we can take the e-commerce business and where the future trends hold.
Bobby Griffin: Thank you.
Douglas Lindsay: Yes, Bobby. I'd say we're very encouraged about BrandsMart, the growth opportunities and value creation opportunities. Just one last word on Aaron's, we're in a unique market situation right now. What's encouraging for me is we have long tenured operators, who have been through many cycles and have worked with our customers at a local level through market disruptions. The other benefit we have is our current revenue model unlike retail that allows us to continue to service our customers over time and recognize revenue over time. We're really encouraged and believe in our current strategy and our value proposition in the market and these expanding channels that we have like BrandsMart, like our GenNext stores and our growing e-commerce business are very, very encouraging. We're managing the business right now for the long-term and managing through the short-term disruptions. And we're very encouraged about our outlook in terms of the growth channels that we have.
Bobby Griffin: Appreciate the detail. Best of luck here in the second half.
Douglas Lindsay: Thanks, Bobby.
Operator: Thank you, Bobby. We have a follow-up question from Anthony Chukumba of Loop Capital Markets. Anthony, your line is now open.
Anthony Chukumba: Thank you so much for allowing me to double dip here. Just a real quick question, obviously, you brought the guidance down, but you increased your free cash flow guidance. I'm assuming that's just sort of working capital benefit from the credit tightening, but just wanted to confirm that or wanted to see if there's anything else you could speak to in terms of that change? Thanks.
Douglas Lindsay: Yes, Anthony. You're correct, right, as our expectations for demand, we brought those down for the back half of the year. We're also, as you'd expect, kind of, lowering our lease merchandise inventory purchases and managing that very tightly as we go through the course of the back half of the year.
Anthony Chukumba: Got it. Thank you.
Operator: Thank you for your questions. At this time, we have no further questions. So I'll hand back over to Mr. Lindsay for any closing remarks.
Douglas Lindsay: Thank you, operator, and thank you for joining us today, although we're navigating challenging economic environment. Our team members remain focused on delivering exceptional value and service to our customers and on innovating our business. We're encouraged by the strong performance of our growth initiatives and we continue to invest in those strategies to drive future growth. Thank you again for being with us today and we look forward to speaking with you soon.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect your lines.